Operator: Ladies and gentlemen, thank you for standing by for CIGNA’s second quarter 2009 results review. At this time all callers in the listen-only-mode. We’ll conduct a question-and-answer session later during the conference. And review procedures on how to enter Q to ask questions at that time. (Operator Instructions) As a reminder ladies and gentlemen this conference including the Q&A session is being recorded. We’ll begin by turning the conference over to Ted Detrick. Please go ahead Mr.Detrick.
Ted Detrick: In our remarks today, Ed Hanway will begin by briefly commenting on CIGNA’S second quarter results. David Cordani will provide is perspective on the second quarter and the full year outlook for CIGNA’s on going businesses. We’ve also provide an update on our cost reduction initiatives. Annmarie Hagan will then review the financial details for the quarter and provide the financial outlook for full year 2009. Ed will then conclude with an update on the topic of health care reform before we open the lines for your questions.
Annmarie Hagan CPA: Now it’s noted in our earnings release let me use the certain financial measures, which are not the term in accordance with Generally Accepted Accounting Principals or GAAP when describing its financing results. Specifically we use the term – adjusted income from operations as the principle measure of performance for CIGNA and our operating segments. Adjusted income from operations has defined a shareholders income from continuing operations excluding realized investment results, special items and the results of our guaranteed minimum income benefits business. The reconciliation of adjusted income from operations to shareholders income from continuing operations, which is the most strictly comparable GAAP measure. This contained in today’s earnings release, which - this morning on Form 8-K with the Securities and Exchange Commission and is also posted in the investor relation section of cigna.com. Now in our remarks today, we will be making some forward-looking comments. I would remind you that there are risks factors that could cause actual results to differ materially from our current expectations and those risk factors are discussed in today’s earnings release. Now before turning the call over to Ed, I will cover a few items pertaining to our second quarter results and disclosures. At first I would note that we have recorded two special items in the quarter. The first is the $30 million after-tax benefits related to the - increase our pension plans. Uncertain special item is the $9 million aftertax charge related to CIGNA’s previously announced cost reduction plan. I will remind you that these special items are excluded from adjusted income from operations in today’s discussion of both our second quarter results and our full year 2009 outlook. The second quarter 10-Q will provide expanded disclosures resulting from our decisions for each customer. Now relative to our run of insurance operations, our second quarter shareholders net income included after-tax income of a $110 related to the guaranteed minimal income benefit business. Otherwise known as GMIB. I would remind that this impact of taking 157 reporting on our GMIB results is for GAAP accounting purposes only. We believe that the application of this statement does not represent management’s expectations of the ultimate liability pay off. Because of taken 157 CIGNA’s future results for the GMIB business will be more volatile as any future change in the exit value of GMIB asset and liabilities will be recorded in shareholders net income. CIGNA’s 2009 earnings outlook, which Emily will discuss in a few moments. Exclude the results of the GMIB business and therefore any potential volatility related to the perspective application has taken 157. But on the last item, we would like to remind you that CIGNA will be hosting it’s annual Investor Day this year on November 20 in New York City. With that I am going to turn it over to Ed.
Ed Hanway: Thanks Ted. Good morning everyone. Our second quarter 2009 adjusted income from operations, we’ve a $313 or 1.14 per share. The second quarter consolidated results reflect solid earnings contribution from each of our on going operations. And in this challenging economic environment demonstrate the benefit of our diversified portfolio. In fact each of our on going business that is healthcare, visibility on life and are international operations, delivered meaningful earnings growth compared with our first quarter results. For healthcare earnings was a $177 in the second quarter representing a $23 improvement over the first quarter of 2009. This earnings result reflects good execution on the performance improvement initiatives that we mentioned last quarter including our cost reduction activities. The results are also consistent with the growth trajectory we expected in order to achieve our full year health care earnings target. Well our group disability on life business. We had earnings of $90 million and we continued to achieve comparable strong margins. Which is evident that our value proposition related to our superior disability management programs continues to resonate well in the market place. The second quarter earnings in our international segment were $63 million and reflected solid margins in both Life accident and health and its – benefits business. Now our international’s results include the impact of unfavorable currency movement we continued to be quite pleased with both the top line growth and earnings contribution to this segment. Overall our investment portfolio continues to perform well relative to the market conditions, which we believed is a direct result of our disciple approach to investing. In addition our capital position remains strong and we continue to maintain the financial flexibility to weather potential challenges in the capital markets. Now regarding the full year 2009 outlook we now expect the earnings per share will be in a range of $3.80 to $4 of share. This outlook is modestly higher than our previous expectations reflecting the strength of our second quarter results and it resumes break-even results from – for the remainder of the year. We also note that the earnings outlook for our healthcare business remains unchanged. Overall I’m confident in our ability to achieve our 2009 operating goals and earnings estimates and thereby creating value for our shareholders continuing to improve the health well being in terms of security of the people reserve. After David and – remarks I will be making some including comment and including some observations regarding healthcare reforms. And with that I’m going to turn the call over to David.
David Cordani: Thanks Ed and good morning everyone. Bell will review second quarter results from our ongoing operation, provide an update on our operating costs reduction initiatives. Offer some perspective on the current conditions in the health benefit marketplace. Comments on the full year 2009 outlook and discuss growth opportunities as we look to 2010 and beyond. I will start by reviewing the second quarter 2009 earnings. Second quarter healthcare earnings reflect favorable operating expense continue to strong contribution from the specialty businesses and improved net investment income result which is tempered by pressure on our guaranteed medical loss ratio and lower medical membership. Operating expenses decline sequentially by 3% as a result of the costs reduction actions we have taken today. I would highlight that we continue to balance strong service in clinical program delivery and ongoing technology investment with these expense reductions.  Our – book of business continues to benefit from the progress we are making and improving the total medical costs for our customers. For this book, we are on track to achieve over 90% of the total medical costs improvement to be completed by end year 2009. Our overall book of business, the medical cost trend continues to be in the rage of 7 to 8% and the components of this trend remain unchanged. Medical membership declines sequentially by approximately 1.5% primarily due to higher level of disenrollment. Overall approximately 80% of our year-to-date membership declined is due to disenrollment. Level of sales and account retention continues to be inline with our expectations and we continued to exhibit good pricing and underwriting discipline. I would highlight that our strong client retain rate is validated that our capabilities and value proposition continued to – well in the marketplace and that are establishing clinical delivery programs with strong and consistent as we continued to deliver good results for our clients customers, doctors, hospitals and producers. Overall our second quarter healthcare results reflect good execution the fundamentals and we remain on track to achieve our full year expected earnings. Turning to group disability and life earnings in the quarter reflects strong results from our disability management programs and attracted margins. The strong second quarter results reinforce that our disability management and recurrent the work programs continued to perform to very well and deliver real value for our customers and shareholders overall our group disability results are strong and continued to be competitive or attractive. For our international business earnings in the quarter reflects solid margin in life accident and supplement to health insurance as well as expatriate benefit businesses. In the marketplace we continued to see good demand for our supplemental health insurance and expatriate products and as such new business sales continue at a recently strong phase. I’ll now provide an update on our cost reduction plans. In regards to the cost reduction charge we took in the fourth quarter 2008 we are on track to achieve our targeted savings. As I noted previously this is being clear and important first step to a discipline operating expense reduction initiative. In the quarter we made another installment regarding our cost reduction plans, specialist carriage related to reducing our workforce by an additional 465 physicians. We expect the second installment of the expense reduction action still annualized pre-tax benefits of approximately $25 million with essentially all benefits being realized in our healthcare business. beyond the cost reduction initiatives, that we have already implemented we recognized that there is more to do based on our most assessment our per-member expenses are approximately 10% above the key manage care competitors and is an enterprise we are targeting a meaningful reduction to this GAAP For a multi-year expense strategy we see further improvements in five key areas. First, seeking further opportunities for employment related costs reduction. Second achieving procurement related savings including vendor consolidation. Third delivering additional administrative efficiencies through effective use of technology, fourth, outsourcing of certain operating functions that do not leverage our core competencies and fifth, optimizing our fixed cost infrastructure with emphasis on reducing our real estate footprint. While we continue to seek opportunity to further reduce expenses, we remain committed to maintaining our service levels and commitments to clinical excellence for the benefit of our customers and investing prudently in technology. In summary we are making progress on improving our operating expense run rate and we'll continue our process of identifying actions that will further reduce operating expenses. Now let me provide some perspective on the current conditions in the health benefit marketplace. The pricing environment remains competitive and our strategy is to continue our discipline of balancing growth and profitability. Clients today are looking for solutions to help them manage their medical and disability-related costs while improving health and the productivity of employees. Recently we have seen increased interest in consumer engagement and consumer directed programs, as well as, as well as supporting capabilities including onsite clinical delivery and web-based coaching and care delivery. In this environment we are well positioned to meet the customers need. Our approach is – one of leveraging and the knowledge of our clients and the employees to design benefit plans that align in – and drive of engagement customers. To accomplish this we offer customers leading decision support and navigation tools with lowest clinical capabilities through online assessments, personal health records and outside clinics. We integrate our clinical program to its primary care and health coaching to improve health and productivity. We have seen powerful results for clients and customers were health improvement programs are effectively delivered. The good examples are our recent wins to service a large North East electrical service company and the permanent university in the Mid East, both effective in January 2010. Overall our industry – clinical capabilities and focus on long-term health improvement programs. I will now provide an overview of our 2009 outlook for each our on going business starting with health care. We continued to expect full year 2009 health care earnings to be in a range of $700 million to $760 million. We expect health care earnings to increase meaningfully in the second half due to the number of expense related actions and other profit drivers, which Annmarie will discuss in more detail in a moment.
Annmarie Hagan CPA : From the membership perspectives, while our sales and account retention results is general a number to our expectations. We are seeing the additional disenrollment pressure due to the elevated unemployment levels We are now assuming that unemployment levels arise to approximately 10.5 to 12% by year-end. So I think the further membership is -. As result we now expect total medical membership to decline by approximately 5 – 5.5% for full year 2009. Then if you group Disability and Life, our second quarter results were strong and better than expected and as a result we are increasing the full year 2009 outlook compared to our previous estimates. We expect the impact from the economic downturn on our group visibility on life results be manageable. However we will continue to closely monitor emerging indicators. Turning to international. You’re increasing your outlook for the year in a market place. We continue to experience good demand for our products despite the global recession. Considering the impact of our group insurance and international business. We are increasing your full-year outlook for operating this is like $20. And we will cover this in more detail in few moments. Before I rap up comments, I’ll provide some insight on key actions that we will be driving to grow our business 2010 and beyond, is a backdrop we fully recognize 2000 and will be a challenging year. Given the state of the economy and the uncertainties that help to reform represents. For us it’s including ongoing challenges with employment level and medical cost pressure for the industry. The need to continue to invest prudently in technology for both increased regulatory appliance and market facing capabilities. And the fact that investment yields are unlikely to improve meaningfully over the near term. Each of these forces will create challenging head winds for our business, to deal with these challenges we will be driving several key actions profitability growth CIGNA over the intermediate turn. Here in the U.S. we see several opportunities after we grow our business relative to medical and specialty businesses for middle market employers which represent a competitive strength for us. We have seen good performance here, and we expect further improvement as we look at the future. Like segment employers offer attractive opportunities for us as we build on our successful Great west acquisition. We also see targeted opportunities for national accounts plan specifically those who value our innovative and leading engagement to the directed program. Additionally we see very good opportunities to see the growth and further accelerated growth of our disability programs from employers. This will be further enabled as we expand our disability capabilities to employers in the segment. Outside of the U.S. we see very attractive growth opportunities as well. I will briefly highlight first, further expanding our life, accident and health presence with particular focus in Asia here we will further leverage our diverse product portfolio and expand our distribution channels. Second for ex-patriots we see good growth opportunities as we see deliver our global footprint and delivery network to deliver programs for both global and inter regional ex-patriots. Stepping back we have benefitted from our diverse product and geographic portfolio. And we look forward due to three key things – most attractive opportunities together. They are first our clear focus on understanding of our target customers and the distribution channels. Second is our differentiated service experience for both these customers and our distribution partners. And third is our ability secure long-term relationships that are build on a foundation of multiple products and services. The combination of which delivers differentiated value for our customer and as a result of strong return for our shareholders and in addition we will drive further margin expansion by improving our operating expense in addition. We remain committed as I noted earlier to deliver meaningful and sustainable improvements for expense levels over the coming years. I will now ramp up my prepared comments our second quarter results were solid and reflect sound execution of the fundamental. We remain committed to consistent and effective service in clinical results as we seek to provide cost effective solution for our clients and the customers we serve. Each of our ongoing businesses, as earning growth opportunities if you look to the future and for 2009, we’ve remain committed to delivering our earnings outlook. At this point I’ll turn the call over to Annmarie.
Annmarie Hagan CPA: Thank David. Good morning everyone. In my remarks today. I will review CIGNA’s second quarter 2009 results. I will also provide an update to our full year outlook. In my review of consolidated and segment results. I will comment on adjusted income from operations, this is shareholders income from continuing operation, excluding realizes investment results GMIB results and special items. This is also the basis on which I will provide our earnings outlook. Our second quarter consolidated earnings were $313 million or $1.14 per share compared to $303 million or $1.07 per share in 2008. Our consolidated second quarter 2009 earnings improved relative to first quarter, primarily reflecting increased earnings in each of our ongoing businesses. That is healthcare. Group visibility in life and international. I will now review each of the segments, beginning with healthcare. Second quarter healthcare earnings were $177 million, an improvement from $54 million in the first quarter. The sequential improvement primarily reflected reduced operating expenses, which more than offset declines in membership improved net investment income and a higher guaranteed cost loss ratio. Healthcare results also reflected increased contributions from our specialty businesses. I will now discuss our healthcare results by major component. Guaranteed cost earnings decline sequentially namely reflecting a higher than expected loss ratio and lower membership. I would remind you that our guaranteed cost loss now has fewer than 800,000 lives. Even the size of this block results tend to vary from quarter-to-quarter accordingly I would focus on the year-to-date results. Our guarantee cost of loss ratio for the first half of 2009 with 84.8% excluding a voluntary business. This came in higher than expected driven primarily by unfavorable prior client development and modestly higher than expected level of new related decline. Fundamentally, our year-to-date guaranteed cost results reflects solid underwriting execution as we continue to achieve pricing yield that exceed medical cost trends. Experience rate of results improved sequentially largely due to favorable operating expenses results in the first half of 2009 reflects continued solid underwriting execution. Our ASO results increased from the first quarter driven by favorable operating expenses and continued strong contributions from our specialty businesses this includes the benefits from continued implementation of our total medical cost improvement initiative on their less book of business. And these actions are progressing well. Overall, operating expenses decreased 3% sequentially reflecting the impact of cost reduction actions taken to date. Healthcare membership declines by 180,000 life or approximately 1.5% in the quarter while net new sales and customer retention results or generally as expect the membership decline reflects higher than expected this enrollment. Healthcare premiums and fee decreased 2% sequentially which was generally inline with the lower medical membership. Now I will discuss the results of our other segments. Second quarter 2009 earnings in our group disability and life segment were $90 million reflecting competitively attractive overall margins. In addition, earnings reflect strong results from our disability management program which also contributed a net benefit of $20 million aftertax related to a reserve study. While disability results today have been strong, we are continuing to monitor them closely from potential impacts of the economy. In our international segment, second quarter 2009 earnings were $63 million. This result includes a $14 million favorable adjustment related to the implementation of a tax strategy which will also reduce our effective tax rate going forward. Second quarter results also includes an unfavorable $7 million aftertax impact from foreign currency changes, compared to the same period last year. This is primarily due to adverse currency movements in South Korea. CIGNA's largest non-US market. Overall, segment results continue to reflect competitively attractive margins in our life, accident, and supplemental health and expatriate benefits businesses. Earnings for our remaining operations including runoff reinsurance, other operations in corporate totaled to a loss of $17 million for the quarter. Second quarter results in the runoff reinsurance segment were a net gain of $2 million and includes a favorable impact of settlement activities. It is important to note, that VADBe results for a loss of only $1 million in the quarter. I will now comment on our investment portfolio and results. Overall, our investment portfolio continues to perform well. Our second quarter net realized investment losses totaled $9 million aftertax, reflecting credit impairments related to real estate equity funds, partially offset by gains primarily on asset sales. We view this as a strong result given the current market conditions. Now regarding our commercial mortgage loan portfolio of $3.6 billion, second quarter performance remained strong and problem loans continues to be manageable. Given current market conditions we accelerated the completion of our annual comprehensive commercial mortgage loan review. With the total portfolio the loan to value ratio is now estimated at 78% which is an increase over the 64% ratio from last year review reflecting the significant decline in commercial real estate value. our loans remains well collateralized and our borrowers still have meaningful equity in front our mortgage loans. Relative to our commercial mortgage loan portfolio, I will highlight two key areas first, an update on the $59 million problem loan we discussed at the first quarter and second, an update on our current estimates of problems and potential problem loans. First regarding the $59 million non-performing loan that we have previously discussed. we have completed foreclosure proceedings on this property. we did not record any impairment on this loan as a fair market value of the property continues to exceed the loan value. we are now managing this property as a asset within our directly owned real estate portfolio an area in which we have considerable experience and have demonstrated success in managing these properties and recognizing the economic value. Second, we now have a combined 18 loans in our problem and potential problem loan category, totaling approximately $320 million or 9% of our $3.6 billion mortgage loan portfolio. Of this total we have two problem loan totaling $66 million or approximately 2% of the portfolio and 16 potential problem loans totaling $255 million or 7% of the portfolio. Today we have not taking any impairment on these loans as all, but three are fully performing and the market values of the property continue to exceed our loan value. The increases in both the problem and potential problem loan category, we are not surprising giving the challenging economy and the resulting decline in commercial real estate fundamental and value. Overall we continue to be pleased we are with our investment management results, relative to the current market conditions and we believe our problem and potential problem investment assets are manageable. I will now discuss CIGNA's capital management position and outlook, including a summary of our subsidiary capital and our parent company liquidity. Overall we continue to have a strong balance sheet and good financial flexibility. As of June 30th the overall level of share profit, remains far in excess of regulatory minimum. We have made good progress towards our capital management goals in the first half of the year. And we expect that our position will continue to improve in the second half of the year. Consistent with our previous discussions we are managing our 2009 subsidiary dividend to increase our subsidiary capital, to level the disclosure to our long-term target of approximately 600% of the authorized control level. Now I will review our parent company liquidity. We ended the second quarter with cash and short-term investments at the parent of approximately $180 million including outstanding commercial paper borrowing of approximately $100 million. For the full year we expect approximately $275 million in parent company cash, which is an improvement from our expectation at first quarter of $200 million. The increase is driven primarily by higher net debt proceeds of $150 million and increase in subsidiary dividends of $20 million and a decline due to increased pension funding at parent worth $95 million. I will not provide the details of our parent company of liquidity outlook for the year. we began the year with approximately $90 million in parent company cash for the full year we now expect subsidiary dividend of approximately $540 million an addition of source of parent company cash for the full year is $150 million in net debt proceeds. In the second quarter we issued $350 million of 10 year debt. In addition we repaid $200 million of our outstanding commercial paper. The result was a net debt proceeds of $150 million. Relative to our pension plan funding, our total enterprise contribution for the full year remains at $410 million before tax. We now expect the pension plan funding to result in a net after tax use of parent company cash of approximately $225 million for the full year which is higher in the $130 million we provided in May primarily as a result of freezing the pension plan. All other sources and uses of cash for the full year are still expected to be in net use of approximately $280 million putting all the pieces together, we now expect our year end 2009 parent company cash to be approximately $270 including outstanding commercial paper of $100. I would remind you that we do not anticipating having capacity for share repurchase in 2009. I would also remind you that we have no long-term debt maturing until 2011. Overall our current capital outlook remains positive based on our progress in 2009. We expect to be in a position to resume our normal capital deployment strategy in 2010. I would now review our earnings outlook. For full year 2009 we now expect consolidated adjusted income from operations of 1.04 billion to $1.1 billion, which is $20 higher than our previous range of 1.02 to 1.08 billion. We also now expect full year earnings per share in a range of $3.80 to $4 compared to our previous estimate of $3.70 to $3.90 per share. The increase in our consolidated earnings range reflects a higher earnings outlook for both the disability on life and international segments due to the strength of the second quarter results in these businesses. I would also note that our updated earnings outlook assumes that would be resolved. Our break even for the reminder of the year. Since we believe that our current reserve assumptions are appropriate I would discuss the components of our outlook starting with healthcare. We continue to expect healthcare earnings in a range of $700 to $760 for the full year. While this range is consistent with our previous estimates the components have changed. We now expect lower operating expenses and improved specialty earnings offset by additional pressure on a medical membership and a slightly higher guarantee cost loss ratio. Now let me provide some color on the moving pieces. Relatively to operating expenses the improvement in the full year outlook reflect a strong year-to-date results and continued commitments to our cost initiative, specific the membership we are assuming that unemployment arise to approximately 10.5% to 11% by year end 2009 driving further membership this enrollment. As a result we now expect total medical membership to be decline approximately 5 to 5.5% for full year 2009. Relatively to our guaranteed cost book of business we now expect a full year loss ratio excluding voluntary to be in the range of 84% to 85% this revised outlook is an increase versus our previous range of 84% to 84.5% driven primarily by the impact of prior year client development and flue related claims experienced in the second quarter. We continue to expect full year medical cost trends for our total book of business to be in the range of 7% to 8% and the components of this change –trend remain unchanged I would also note that prior – we have achieved pricing yield that achieved medical cost trend and we expect that to continue for the balance of the year regarding the healthcare earnings progression for the balance of the year we continue to expect an increase in earnings in the second half of 2009. The year-to-date healthcare earnings results of $331 million were run rate to approximately $660 million for the full year. Our full year outlook reflects an increase of approximately 40 to $100 million after tax compared to this run rate. We expect this improvement to be driven primarily by operating expenses including a $30 million after tax benefit of breathing our pension plans. As well as the $25 million after tax benefit of lower transformation amortization expenses in the second half of the year. The balance of the net improvement is expected to be driven by the combined impact of the seasonality related Medicare Part D and higher net investment income, tempered by lower medical membership. In total we continue to expect the healthcare earnings will improve in the second half of 2009, yielding full year earnings in the range of $700 million to $760 million. I will now discuss the outlook for our other businesses. We expect that remaining operations to contribute approximately $340 million in earnings for the full year. We expect our group Disability and Life, and international businesses to continue to grow revenue while maintaining competitively strong margins. Specifically we now expect our 2009, group Disability and Life earnings to be approximately $10 million after tax higher than our previous estimates. The increase in the outlook is primarily driven by the favorable second quarter results, which underscore the strength and value of our Disability management program. We now expect earnings in our international business to grow by high single digits in 2009, is updated outlook includes the one time and ongoing benefits of the tax strategy, which is implemented in the second quarter. All in we expected consolidated earnings per share to be in a range of $3.80 to $4 per share, and this assume the VADBe result or breakeven for the balance of the year. Now to recap, earnings in the second quarter improved relative to first quarter in each of our ongoing businesses. based on this strength of our results in the first half of year and the continued impact of operating expense improvement we remain confident and our ability to achieve our full year 2009 earnings outlook and finally, our capital position and our investment management results remains strong relative to current market conditions. With the that I will turn it back over to Ed.
Ed Hanway: Thanks Marry. I’m not going to comment on healthcare reform and conclude with the few overall observations. Regarding healthcare reform I will start by noting that seeing that continues to be active in the debate around the future of our healthcare system and at the same time, we are also working to enhance our capabilities and position for success under various reforms in areas. We are encouraged that efforts to-date are gaining traction to engage and inform the members of Congress regarding the need to address not just the issue of access but the costs and quality of healthcare as well. AT CIGNA we believe that very American should have accessed to affordable quality healthcare. We believe the employer base system through which more than a $160 million Americans gain accessed to a choice of innovative health plans and benefits should remain the primary source of coverage for working individuals and their families. We also believe that are coordinated public and private partnership of all healthcare stakeholders is critical to creating a value driven market and for healthcare reform to have a meaningful impact it needs to address two drivers of higher medical costs. Including the needs for strong focus on health improvement – relative to the outlook for reform just a couple of thought. While that is not possible to definitively predict what reform will ultimately look like, I think some potential things are emerging. First, future Medicare advantage reimbursement rate cuts are viewed as a means to finance healthcare reforms. And second, we are likely to see reforms that will provide access to affordable healthcare for some portion of the 45 plus million uninsured. Likely including individual and employer requirements to purchase or contribute to coverage and subsidies for lower wage workers. Third the obvious challenge is how to pay for the expansion of coverage proposals for tax increases on individuals, on benefits, on employers, and on the insurance industry are all being discussed as possible solutions. These are quite contagious issues and none of these proposals address the real issue of lowering healthcare costs and improving access and quality. It is clear that certain key groups in both the House and Senate are very concerned with the cost of reform and its impact on federal deficits. And as such, are advocating for a very close review of proposed legislation. While the ultimate outcome of reform is pretty difficult to predict, we feel that CIGNA is positioned to adapt to and capitalize on any potential opportunities from the evolution of healthcare in the U.S. Specifically, our risk relative to Medicare advantage, rate reductions has limited due to our small exposure to Medicare membership. In addition, we believe our growing capabilities to provide individual coverage makes aspects of reform, such as the improved access for the uninsured a potential opportunity for us. And finally specific to reform that may on health outcomes, I would note that the notion of improving health and wellness to bend medical cost trend curve aligns very well with CIGNA’s stratergy and business model. I’m working with many employers we have demonstrated the positive impact our engagement programs can have when supported by actionable health and wellness information as measured improved costs and quality outcomes. Our ability to effectively integrate our broader way of capabilities in behavioral, pharmacy, disability and health coaching creates real value for both employers and their members. And before we take your questions, I want to provide our current thinking on our PBM, given the interest that it's generated. Our vote today has confirmed both the relative strength of our PBM's earnings, as well as it value proposition for our customers. In accordingly this asset remains a key component of our strategic direction. However as always we continue to explore option to maximize the value of our asset for our customers and our shareholders. Let me recap the slides from each of our on going business in the quarter were solid and each business delivered meaningful earnings growth compared with the first quarter. Second our capital position is strong and our investment portfolio is of high quality and well managed. And finally as we look to the future, CIGNA has a well diversified comparatively attractive portfolio business with solid earnings growth opportunities. So, in conclusion we are confident in our ability to achieve our full year earnings target for our non going businesses and continued to improve our competitive positions there by creating value for the benefit of both customers and shareholders. And now we will be glad to take your questions.
Operator: (Operator Instructions) We’ll go first to Matthew Borsch with Goldman Sachs
Matthew Borsch: Yes hi good morning I’m wondering if I can just start the question on the commercial mortgage portfolio update which you gave could you guess maybe talk us through the criteria that’s use to identify the category 81 that are gathered two or problem and 16 are potential problem and how you will handle those going forward and then the related question if you could also address is under what circumstances would we expect to see you update the loan to value figures on a quarterly basis versus a year from now when you do your next review thanks?
Annmarie Hagan CPA: Good morning Matthew, it’s Annmarie thanks for the question relatively to your overall commercial mortgage loan portfolio I’ll remain you that this $3.6 billion is made up of 180 individually underwritten loans that are very diversified by property type location and borrower as we gone through our annual loan review we will get a variety of inputs Matthew and we look to physical inspection of the property. We look at rent rolls. We understand vacancy and the area that is located in and we also locate the borrowers financial capabilities and we also have this all reviewed and analyzed by independent auditors those that we actually put into the potential or problem category or those where we have some early warning sign or concern that there maybe at some point in time at the fall from borrowers, and now I remind you that all, but three of these are actually fully performing. So all of the borrowers today, other than those three are actually meeting their contractual cash obligation, their contractual payments. As it relates to the loan to value ratio, as you know we do have complete comprehensive review on an annual basis. Having said that on a quarterly basis, we do review each of our loan regularly to understand that they were any significant changes in the marketplace the status of the borrower or other inputs that we’ve analyze annually and we would take an impairment if required as a result of them not being able to ultimately meet their cash obligation or that the loan to value was under the book value. Over the book value I am sorry. And we would take this impairments on a – kind a real time current basis.
Matthew Borsch – Goldman Sachs: Okay great. And just a one follow-up on the different, but related topic and your RBC ratio I think I heard you mentioned the 600% figure again is that, is that still your year end targets or are you, did you imply that you there already.
Annmarie Hagan CPA: No Matthew just to clarify it is our year end target and we’ve remain on track to achieving that target of 600% of the authorized control level.
Matthew Borsch – Goldman Sachs: Okay. Fantastic. Thank you.
Annmarie Hagan CPA: Thank you.
Operator: Thank you Mr. Borsch. Our next question comes from Ana Gupte, Sanford Bernstein.
Ana Gupte – Sanford C. Bernstein & Company, Inc: Hi, thanks good morning. My question was about the guaranteed cost ratio you mentioned that you’re achieving spreads that are positive between premium yield and trend when I look at 1Q relative to 2Q. it's seems to be at least narrowing it's not becoming slightly negative I was wondering if you had any prior period development built in there. And then on the individual book that you’re trying to grow, do you include that now. In your guaranteed cost? Growth even clue bet now your guaranteed cost line item.
Annmarie Hagan CPA : Good morning, Ana. And thank you very much Anne Marie.
Ana Gupte : Hi.
Annmarie Hagan CPA : Relative to the guaranteed cost medical loss ratio. Yes, we are continuing to achieve premium yield in excessive medical cost trend order of magnitude yield 8 to 9% with overall trend in the 7 to 8% and as to your point of narrowing in the quarter, there has been some prior year development that we identified in the quarter. if you taken the reported 84.8% medical loss ratio and adjusted for the prior year client development. you would be at about 84%. There is some bit of prior clean development in the quarter. having said that we continue to feel very good about the overall results and guaranteed costs loss ratio and the fact that we have been consistently able to over the several years price in excessive medical trend really result in a good competitive position for us. As it relates to your specific question on the individual, yes, the individual members are now part of the guaranteed costs loss ratio
Ana Gupte : Okay, thanks. One follow up, a couple of your competitors have been talking about adverse selection. so, as you’re thinking about pricing and going into the 2010 pricing cycle what is your estimate for our medical cost trend and the spread between yield and trend that you are targeting. are you becoming more conservative in light of some of these reports,.
Annmarie Hagan CPA : Anna, as well as, as it relates to 2010, we are not in a position yet to give specific outlook or guidance having said that it is still our plan to continue to price in excessive trend.
Ana Gupte : Okay, thank you.
Annmarie Hagan CPA : You’re welcome.
Operator: Thank Ms. Gupte. We go next to next to Justin Lake with UBS.
Justin Lake - UBS: Thanks, good morning. couple of questions just first on cash flow, you mentioned the pension deployment this year going up a little bit. I’m just curious, if you could talk to us about what you about to deploy their over 2010 and then how is that changes even that you are talking about turning back to share repurchase next year.
Annmarie Hagan: Good morning Justin it’s Annmarie thanks for the question. Just to clarify you mentioned that the pension deployment looks going to up in fact from and enterprise perspective that number has not changed it’s remains at $410 million before tax there has been a mix between what is happening between our subsidiaries and our parent company as a result of freezing your pension plans so there is a mix there but just to be clear in aggregate the numbers remain the same. As we move into 2010 we’ll provide a more guidance in the third quarter call but those numbers order of magnitude I believe in the $300 to $350 - $350 million range and they have not changed from our previous estimates.
Justin Lake - UBS: Okay and then that would be similar kind of mix between parents and subsidiary?
Annmarie Hagan CPA: I believe Justin at this point it will probably about the same with probably more coming from the parent the parent has we’ve changed the process of how we allocate that can – between – as a result of the freeze.
Justin Lake - UBS: Got it and then one quick question on the experience rate book it looks the margin there might been a little better in the quarter?
Unidentified Company Representative: And I’m curious is that book, in group attrition that we are seeing through –throughout the – business. Is that book of business is actually from in group attrition even there you are starting a high water mark for a medical cost target? And then is that on basis or that gross basis going forward and I’m trying to trigger out.
David Cordani : Yes good morning it’s David I would say that, that book is not benefit disproportionally from in group attrition and back to believe we should look at the books that’s an aggregation of the case by case as we talk and look at the medical loss ratio I mean aggregate that bucket it case by case performance level. So as you look at the your comments slight improvement in terms of the results both were pleased with that, and it’s a result of two things. One very good underwriting execution coupled against strong medical cost results that could be in line with our expectation but your point not a unique pattern for just a moment moving that number. Operator: Thank you Mr. Lake. We go next to John Rex with JP Morgan.
John Rex – JPMorgan: Thanks. So just coming back to the commentary you had on look to your 2010 given the topline pressures you had going to 2010 with just with a attrition in your book is it realistic to think about being able to grow earnings in the healthcare segment next year even then I don’t think this is kind of a X to you. You obviously was still getting some instant benefit in 2010 from the lower amortization expense. This is from transformation projects that we step up pull back a side I think next item that piece I mean getting even realistic getting about healthcare segment earnings growth?
David Cordani : John good morning it’s David.
John Rex – JPMorgan: Hi David.
David Cordani : Obviously good morning. It’s quite early to give you a 2010 outlook we’ll buy that in the third quarter, let me try to help out though and give you a little color in terms of plaster consideration that am I consider as we look to 2010. And just a few items to consider first. Yeah specific to healthcare and drawback, point one is for the enterprise. The diversity of our portfolio has always been attractive I meet submit is even more attractive in these market conditions probably in terms of the healthcare the group. And then the diversion rapidly growing international portfolio within healthcare obviously we talk about the diversity of our position as well. No dependance on anyone funny mechanism and the diversity of our captive specialty assets beyond that where I think about and feel good about is the successful integration of the great last acquisition and our ability to build on that as I noted in my prepared remarks, that our objective there are performing well and we have about 90$ of the total medical cost improvement opportunity secured by the end of 2009. So that’s something we feel good about at this point towards 2010. And third, as we noted in the prepared comments as well, we understand and see the expense improvement opportunity that exists. So from an earnings growth standpoint, we would expect that to contribute as well as we look into 2010. So those are just a few items of consideration and obviously we’ll provide much more granularity in the third quarter relative to the outlook.
John Rex - JPMorgan: I mean do you have any, again I guess I am not asking for specific guidance we just kind of bias or degree of confidence on the ability to – for the health segment to grow next year ex amortization. Are you to that point where you kind of even have a view as to what that you not you think you can grow all-in, not again all-in just health segment?
Ed Hanway: John, obviously we are not going to provide guidance here. I think David did a good job of outlining some of the things that we do feel good about, relative to both growth, but also the ongoing expense reduction commitment. And in aggregate the portfolio provides us with we think some competitive advantage relative to overall earnings growth.
John Rex - JPMorgan: Okay, and then just the second point is, so some insurers have mentioned seeing some rising utilization in the kind of rate in the 2Q some directly in their streets, some like assurance kind of not so directly so, seeing kind of higher utilization, physician utilization et cetera. In this anything that you noticed in your book? Do you think any kind of coming late out of the quarter that looks different?
Annmarie Hagan CPA: Hi John, it’s Annmarie. Relative to – remind you relative to our overall book of business will continue to feel comfortable with the trend between 7 and 8%. I’m having said that, we still have in-patient in the high single digit, out patient in the high single digit, professional mid-single and pharmacy in the mid-single digit relative to the second quarter, specifically, there was some minor uptick in the pharmacy and outpatient utilization which we can attribute back to the flu related claims that we mentioned earlier in the prepared remarks. order of magnitude 20 basis points on a loss ratio.
Operator: Thank you Mr. Rex. We go next to Scott Fidel, Deutsche Bank.
Scott Fidel - Deutsche Bank : Thank you. First, can you just break out the exact dollar amount of the negative reserve development in the second quarter?
Annmarie Hagan CPA: Doug, it’s Annmarie. Oh, Scott, I’m sorry. Scott, it’s Annmarie.
Scott Fidel - Deutsche Bank: Its okay.
Annmarie Hagan CPA: The negative development in the second quarter would primarily related to some in patient client development from the fourth quarter of 2008, some isolated claims in the guaranteed cost book. Order of magnitude $5 million to $7 million after tax or 80 basis point on the full year guaranteed cost MLR.
Scott Fidel - Deutsche Bank: Okay and then what’s the new tax rate that was think about for international and then relative to the increase in international guidance how would you say that’s splits out between lower taxes in the 2Q and then going forward as compared to higher operating earnings outlook.
Annmarie Hagan CPA: Thanks, Scott. It’s Annmarie again. relative to the way to think about the tax rate has been moved forward international and typically run in the 35% effective tax rate, order of magnitude, you can think about that is going forward in the 31 to 32% range and it is largely driven by our Korean operation so that would change as a mix of Korean earnings, change over time I think we typically disclosed that the Korean earnings are about 60% of the total but as we move forward we would expect about a 4% or so. Improvement in the effective tax rate.
Operator: Thank you Mr. Fidel. We’ll go next to Charles Boorady with Citi
Charles Boorady – Citigroup: Thanks good morning and first of all, I would like to congratulate Annmarie again on your new role. You talked about continued pricing ahead of on medical trend, and I’m wondering if you could reconcile that with the med loss ratio erosion in the quarter, with that all due to the negative prior period development that you’re referred to from, the end of ’08.
Annmarie Hagan CPA: Charles, yes thanks, this is Annmarie. So I did, just want remind you again at our guaranteed cost book of business is small and obviously there are some equipment going along with that there is some variability that occurs quarter-to-quarter, you’ll remember that the first quarter we had a very low loss ratio in guaranteed cost in the second quarter are little bit higher on aggregate as I mentioned in my prepared remark. The 84.8% from a year-to-date basis, was slightly uptick for two reasons, one the prior year claim development, and two a little bit of the flow. So, we, having said that there yes, the deterioration in that kind of pricing to trend in the quarter was largely driven to prior year claim developments, but overall we continue to feel very good about the underwriting and pricing execution on that book of business.
Charles Boorady – Citigroup: Okay and then on, in terms of your expense reduction initiatives, which appeared to be going very well, and can you just summarize for us the total improvement in your expenses, adjusted for the lower enrollment if you could I can see the dollar amounts in the, financial statements, but if you serve adjust for enrollment in mix and other things that we can do, is had, what’s the dollar benefits or EPS benefit in ’09 verus ’08 from the, transformation Great-West and then other major expense reduction initiatives.
Annmarie Hagan CPA: Yeah Charles this is Annmarie, I’ll take a stab at that and we can get back to you with more details after the call with Ted, but if you look at the – six months and you adjusted it for Great-West, our operating expenses in aggregate are gone about 3% on membership of down 4% not exactly where we need to be at and you’ll recall we are continuing to and make sure we investment prudently in information technology protect our service and clinical expenses and customers facing cost having said that as we get through to the balance of the year we’re continuing to focus on or aligning that expense per member more a lot of expense more inline with the decrease in the membership. Having said that we will not be 100% there as we get to ’09 and we’ll continue as David mentioned earlier they focused on further cost reduction as we moved to 2010.
Operator: Thank you Cordani we go next to Joshua Raskin with Barclays Capital.
Joshua Raskin – Barclays Capital : Hi thanks good morning first question just maybe an outlook for 2010 national accounts I know we are getting started in the season which is curious in terms of expectations of new accounts and based on the economy where you guys I think you’ll come out January first?
David Cordani : Yes good morning it’s David I will give you a little bit of color in terms of what we are seeing so far versus you would expect the national accounts season is still active, but we are meaningfully into the – into the process first by way of background RFPs, so inbound opportunities to look at new growth opportunities and the volume on a weighted membership weighted basis that is actually up a bit this year and similarly on the – RFP’s so the percentage our book of business is out a bit that was up a bit this year as well both are in pattern with one another one is there looks a new opportunities versus the percent of our business is out a bit while both up a Ted, are in pattern with one another. Second we have seen progress today in terms of new business sales and pattern that we have thus for in the new business sales side of the house tend to be employers national employers who are looking for high engagement, high health improvement programs that are typically in packets with multi solutions and we have some new innovative products for this year 2009 and 2010 that are being received quite well in the market place of those pieces of business that we either have not secured or potential loss. The pattern , we have seen there are employers who we are seeking so they are seeking more traditional on benefit programs and alternatives. Today as we look at the market place right now our expectation would be that for 2010 our client retention rate in the national accounts base would be about what we experience in 2009. Last comment I'll give you for national accounts -- because we define the sector is commercial employers multistate over 5000 employees and in many cases the market place or competition include large single side business municipalities, universities, et cetera, we have seen and continued to see a good traction in that subsegment as well. And that's rather attractive to us as we target key markets. Josh
Joshua Raskin – Barclays Capital : Okay, that’s helpful. And then second question, just on I guess general question around capital and potential needs therefore if the pension freeze change your obligations in terms of cash contribution going forward? And then specifically commercial backed mortgages - of look at the fourth quarter and I think you have 2% year loans and are about 90% loan-to-value that was basically unchanged in the first quarter at 3% and now it has jumped to sort of 28%. So is that number going to stay in stagnant in your file in your tad’s supplement to the – in your stat supplements in the sense -- I can't imagine everything deteriorated? Seemed like it was just the process of going to annual review so how do we think about the those numbers in terms of quarterly update.
Annmarie Hagan CPA : Thanks Josh, its Annmarie. Relative to your first question on capital commitment over the near-term, the freeze in the pension plan does not change the capital commitment required to continue to fund the pension plan obligation overtime obviously, that changes as we eliminated benefits moving forward. but near-term no major change in that. relative to the commercial mortgage portfolio, yes, what you have seen impact us in the quarter is that annual review that we perform having that I did mention earlier that on the quarterly basis we will continue to look at, each of the large loan to make sure that there is no significant change in their asset worthiness, so to speak. And there would be some minor change but we would not expect wholesale change in that categorization and doing the near-term and are committed to again performing the annual comprehensive review and updating that seem on next year.
Operator: Thank Mr. Raskin. We go next to Christine Arnold with Cowen.
Christine Arnold – Cowen: Hi, there thank you. Could you help us understand what’s embedded in your healthcare earnings assumptions for the rest of this year with respect to COBRA and the flu.
Annmarie Hagan CPA: Hi, Christine, it’s Annmarie. Thanks for the question. Relative to COBRA I just want to remind you again that’s a very, very small portion of our book. order of magnitude we have about a 135,000 COBRA members overall, and having said that they do, mere the same distribution of ASO guaranteed cost and experience rated so about 80% of those 135,000 membership the ASO book so that small portion does have a significant impact and we would not expected to on the guaranteed costs loss ratio. relative to the flu if we think about that the guaranteed cost loss ratio and moving from the first half to the second half, I had mentioned earlier that the 84.8% through 6 month would be about 84, for excluding prior claim development. As we March that forward through the end of the year. we do expect to continue to achieve right action in excess over the medical trend and we have also contemplated, while not an explicit number for the flu, and uptick of say 40 basis points from June through the end of the year, relative to the combination of the seasonality related to our deductible as well as uptick for the flu.
Christine Arnold – Cowen & Co: So I guess, here's what I'm struggling with. Within your guaranteed cost book, most, I would assume are eligible for this COBRA retroactive thing. And then with the acquisition of Great-West plus the stop-loss/reinsurance business that you have, on a $1.2 billion some of those folks who, will get their insurance cards say July, August. May have had a catastrophic event all the way back to March that you're going have to cover, are you saying you’re including nothing for that.
David Cordani: Christine good morning this is David. Maybe one way to think about the COBRA piece which reading into as Annmarie referenced we have about a 130,000, 140,000 COBRA lives that's up from about a 100,000 on a normal run rate basis. Through the pattern of coverage’s for the COBRA business mirrors our overall book of business. So you could think about the fact that I have less than 10% of my business materially that's a 10% in guarantee cost were less than 10&|% in COBRA. So than the change that have in COBRA 3,000 or 4,000 lives had most is it possible what you are identifying sure it's possible. But when you boil it down to such a finite amount of lives and we don’t see that is an key driver or these are our loss ratio today or our loss ratio going forward the final comment we will make is as noted previously we end the industry believe recovered loss ratio is in the materially higher than that of a traditional book of business but it is a very small portion of our overall book of business.
Christine Arnold – Cowen: Just to ask to but you’re expecting zero impact on the 1.2 billion of stop loss reinsurance where you on the hope – claims?
David Cordani: That the case we are seeing it’s a fair question a pointed question our stop loss book of business is large your are point grew with –acquisitions and we are attracted to that our total medical cost management programs are critical overall as all for the stop loss business and two point and there will be any impacts to stop loss from some of this yes we’ve not update we have not see in the acute level and on a overall basis for both our core historic business up loss up a business and the great less profit business we are actually pleased with overall performance of that.
Operator: Thank you – we go next to Carl McDonald with Oppenheimer.
Carl McDonald – Oppenheimer: Thanks just summarizing all the comments on the operating expenses should we anticipate the actual dollars spent on operating expenses in 2010 to be higher or lower than 2009 and with the reductions and also by the investments and another items?
Annmarie Hagan: Hi Carl this is Annmarie I think overall we would expect a slight uptake in the overall operating expenses year-over-year for a couple of reasons, we’ve added the Great-West book of business so when you looking year-over-year you have 9 months in last year and a full year in 2009 so a slight uptake related to that and as well as continued focus on taking the operating expense cost out of the system, not as quickly as we’ve like but we’ll continue to focus on getting that are needs to be over the long-term but order of magnitude I would expect apples to apples you know slight up tick in the full year operating expense.
Carl McDonald – Oppenheimer: And then secondly in the guaranteed cost book, how should we think about the enrollment decline first half of this year between pricing trend in the competitive environment relative to in group attrition.
David Cordani : So, Carl, your broad question is for the first half of the year. The decline how much that was which driven by rate actions versus the in-group movement.
Carl McDonald - Oppenheimer : Yeah, exactly, and the guaranteed cost book 
David Cordani: So, for the guaranteed cost book, irst and foremost, our new business sales, paint the picture, new business sales are off both our historical levels and as well soft pressure in the marketplace as we maintain pricing and underwriting discipline. second point is on is on disenrollment, during the early portion of the year, interestingly to your question, we saw an earlier update on this enrollment pressure for the lower end of the employer segment and therefore specifically for the guaranteed cost book of business that’s showing a little bit of signs and moderation to get to the middle part of the year and as we look to the second half of the year we actually expect to see some reasonably good performance for the guaranteed cost book as we launch some of the new products that we referenced previously those are in effect for July 1st and their after sales has been look forward. so, pressure on the sale side of the house and the pricing and underwriting discipline and a little bit disproportion pressure on this enrollment in the first half of the year to the lower end of the employer segment as well as guaranteed costs.
Operator: Thank Mr. McDonald. We go next to Peter Costa with FTN Equity Markets.
Peter Costa – FTN Equity Markets: Just a question around your strategy in Medicare, that Medicare party business this quarter again and imagine your Medicare advantage business is doing a whole lot of good for either. can you kind of talk about what you are going do there over the longer time and what’s your plan as it sort of a bit of net you guys. So we just like to see some performance out of it, what’s going to happen now?
Unidentified Company Representative:
Well first and foremost this specifically Medicare part D just to remind you the earnings pattern is extraordinarily powerful Q to Q. So we always talk about in the first half of the year Q1 a loss, Q2 a loss less than Q1 in pattern and then ramping in the second half of the year. To your macro point Medicare B Part D or Medicare advantage has not and is not a critical part of our business strategy today. Since your macro point we have not bet on it significant amount of earnings grow on what with portfolio business is rather what we said is we want to ensure that we have the right senior solution for our employer customers to ensure that we are delivering effective solution they need for either their pre Medicare retire there is a post Medicare recoveries. So outside of Medicare advantage we have a serious programs with a rap supplement COB coordination and Medicare coordination programs that we have in for today that are running and servicing the employers well. Two we have what you might think about is modified CDHP programs for employers needs for employees in the 55 to 64 year-old range. And that are actually playing pretty well on the market place. As we look to the near-term future. You should not expect us to see significant growth out of the Medicare Part D new are Medicare privacy for service or advantage your business out side of our Arizona operation we have a unique value proposition where delivery system and program there.:
Peter Costa – FTN Equity Markets: Thanks.
Operator: We go next to Greg Nersessian with Credit Suisse.
Greg Nersessian - Credit Suisse : Thanks good morning. Just on the healthcare segment earnings guidance I think I heard you say the all of the pension benefits second half of the year is in the healthcare segment I guess why is it fully allocated in healthcare and I am assuming that was not included in your previous healthcare earnings guidance, is that correct?
Annmarie Hagan CPA: Greg it’s Annmarie. Just to clarify, the what I mentioned in my prepared remarks was relative to the healthcare we would see a benefit in the second half of the year of about $30 million, aftertax I did not comment on the other businesses and in fact there will be some underlying improvement there order of magnitude about 80% to 85% of it ends up at healthcare, because that’s where all our people are. Right
Annmarie Hagan CPA: So there is some small benefit in our other businesses.
Greg Nersessian - Credit Suisse: And the pension was not in the guidance previously, right the same guidance range did not include the pension previously in healthcare.
Annmarie Hagan CPA: To clarify Greg the previous guidance did include an expectation that we would be freezing our pension plan and assuming some of the savings there.
Greg Nersessian - Credit Suisse: Okay and then just a last question. I noticed the Medicare revenue ticks higher slightly, was there a risk adjustment payment this quarter, or anything going on that one?
Annmarie Hagan CPA: Yes Greg there was in our Medicare advantage book of business the risk adjustment payment that was received this quarter, order of magnitude 5 millionish.
Operator: Thank you Mr. Nersessian. Our final question will come from Doug Simpson, Morgan Stanley.
Doug Simpson – Morgan Stanley: Hi, good morning, most of my questions have been asked but, obviously CIGNA is a much more, much different portfolio of assets than the other companies predominantly focused on health insurance and Ed you mentioned the PBM in your prepared remarks, but if you think for the entire book, I mean, is this the ideal mix of business at this point for CIGNA and just, stepping back, can you just talk about how you see the link between the different businesses and whether at some point you might think about conducting a broader strategic review of sort of the interaction of the businesses?
Ed Hanway: Doug, it’s ED. First of all, we are pretty pleased with the portfolio of businesses we have and you can be assured that quite frankly the review that you mentioned is something that we do on an ongoing basis. The linkage between the businesses are actually pretty significant David referenced a couple of things to tied growth opportunities apart together I mean and if you look at the disability you look at the healthcare side increasing integration of those capabilities are very attractive to us. we are leading disability career – and when you emerge the capability there with what we do in healthcare, its provides a very attractive seem set of packaging of products for the individual employer. International operations interestingly are themselves predominantly health related whether it’s on the – side where in the U.S. you are carving individuals out of domestic U.S. programs and providing them with significant service on a global basis for increasingly when you are looking at expatriates third country nationals outside of the U.S. and what their needs are particularly they are coming to the U.S. the linkage is between the business there the quality of the service provided the information that’s provided to those individuals are very leveragable between the domestic operations and the international operation and increasingly one of the areas within the international operation that is gaining a lot of interest on our part is more traditional medical products we do a very good job on the supplemental side, and some of those supplemental products now are becoming more consistent with some of the U.S. product so there is good opportunity as well they take expertise from the U.S. and applied in the some of those international opportunities and given that we have such a substantial footprint there and have been added for as long as we have the knowledge base allows us to really tailor products pretty effectively. If you use on the international side, so we do believe the portfolio product that this point working neat and pretty attractive from the shareholder perspective.
Doug Simpson – Morgan Stanley: David, do you want to add?
Ed Hanway: Doug, I'll just highlight three points. First, within the healthcare portfolio, our specialty capabilities are critical as we [reconcile] on to the wins around customer engagement and health improvement and so broadly speaking we achieved like that portfolio, As Ed referenced in his prepared remarks, we will and we do continue to evaluate on the portfolio for the right mix. Secondly when take in disability and healthcare capabilities together, we have proven the early times that being able to demonstrate improved productivity on behalf for the benefit of the employer and the individuals we served either earlier intravenations by coordinating health care and the disability clinicians And then lastly, to be very specific on the international side if you're just looking at the expatriate portfolio, there high leverage both in terms of the delivery system you do hear in the U.S. where else we look more seamlessly outside of the U.S as well as for the clinical programs, especially when the most acute events transpire for an expatriate to be able to manage our services. So broadly speaking we like the collection of the assets we have, but we will continue in a disclipned fashion to review it over time.
Doug Simpson – Morgan Stanley : Okay and then obviously the runoff reinsurance non-core business, and you mentioned them specifically in those comment. Is that I mean do you like that business, I’m assuming – But it differently in and how actively do you guys think about what you can do to shed that business to either structure something along the lines of reinsurance agreement or just outright put it to someone else in the market is there – is there way to just give us a sense for how, what’s the sense of urgency on that – is that something you think well all time or is a sort of the part of an annual review process?
Edward Hanway: Well you’re going to assume that the, we think about the runoff reinsurance business by the hour. And the solutions that you suggested are all solutions that we constantly are reviewing and I would say are constantly in the marketplace. Assessing whether or not, there are options for us, that would be economic.
Doug Simpson – Morgan Stanley: Okay
Edward Hanway: And to the extend that we found one, we would certainly take advantage of it. That has not been the case at this point in time, but you can rest assured that we are very motivated to find a permanent solution for those businesses. Having said that I do think that the risk management programs we put in place there between the hedge programs and so forth. And not only very appropriate, but have worked very consistently with the way they were intended to work, but we are very motivated to find a permanent solution.
Doug Simpson – Morgan Stanley: Okay. Great thank you.
Operator: Ladies and gentlemen, this concludes CIGNA’s second quarter 2009 result review. CIGNA investor relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing 719-457-0820 or 888-203-1112. The pass code for the replay is 1237447. Thank you for participating. We will now disconnect.